Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter Investor Conference Call. Today's call is being recorded.
 Legal counsel requires us to advise that the discussion scheduled to take place today may contain forward-looking statements that involve known and unknown risks and uncertainties. Actual results may be materially different from any future results, performance or achievements contemplated in the forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements is contained in the company's annual information form, as filed with the Canadian securities administrators, and the company's annual report on Form 40-F, as filed with the U.S. Securities and Exchange Commission. 
 As a reminder, today's call is being recorded. Today is Wednesday, August 5, 2015. 
 At this time, for opening remarks and introductions, I'd like to turn the call over to Chairman and Chief Executive Officer, Mr. Jay Hennick. Please go ahead, sir. 
Jay Hennick: Thank you, operator, and good morning, everyone. Thanks for joining us today for our second quarter conference call and the first for Colliers International as a stand-alone and independent public company. Today is another milestone event in the history of our organization.
 I'm Jay Hennick, Chairman and Chief Executive Officer. And with me today is John Friedrichsen, Chief Financial Officer.
 This conference call is being webcast and is also available in our Investor Relations section of our website. In addition, we provided a presentation slide deck to follow John's prepared remarks, which we - which he will deliver in a few minutes. 
 Earlier, today, Colliers reported strong financial results for the second quarter, continuing the momentum we began during the first. These results are particularly impressive when you consider the significant currency headwinds we face as more than 65% of our revenues are generated outside the United States. 
 Revenues were up 11% or 22% in local currency, adjusted EBITDA was up 30% and 46% in local currency, while adjusted earnings per share were also up 32% versus the prior year.
 Strong internal growth and significant margin expansion was achieved across-the-board, especially in our European operations. We expect the momentum from the first half of the year to continue for the balance.
 In addition to focusing on expanding our geographic diversification, we continue to grow our recurring revenues in our Outsourcing & Advisory segment, which represented about 40% of our overall revenues for the quarter, up 33% versus the prior year.
 Diversifying our business geographically and by service line strengthens our global platform and provides better predictability for the future. It's nice to see our efforts in both of these areas paying off so nicely.
 Colliers is a well-known and highly regarded global commercial real estate services firm with more than 16,000 professionals operating from 500 offices in 67 countries. What sets us apart is not what we do but how we do it. Our enterprising culture encourages our real estate professionals to think creatively, be innovative and share their best ideas to achieve the greatest results for our clients. And as one of the few firms that are truly global, Colliers International is the commercial real estate services firm of choice for many of the world's leading and successful companies.
 Having so many company-owned operations in so many different markets around the world should also be excellent news for our shareholders. In a sizable and growing industry like commercial real estate, Colliers International has countless ways to grow its business in the years to come. And this management team has a proven and very successful track record of taking advantage of these opportunities and for creating value for our shareholders.
 In terms of acquisitions this quarter, we added a leading project management business in the Northeast U.S. to expand our existing operations in this important specialty. Colliers' global project management and workplace solutions business has more than 1,000 highly trained professionals that complete a broad range of sophisticated real estate projects for owners and occupiers of real estate around the world.
 We also completed an important acquisition in Dallas, adding CASE Commercial, one of the largest independent commercial real estate firms in the state of Texas. CASE and their team of more than 50 professionals provide private, public and institutional clients with strategic real estate advice, sales and lease brokerage and property management services in Texas and across the U.S.
 This acquisition not only strengthens our operations in the important Dallas/Fort Worth market, but it also increases the flow of business nationally and internationally throughout the Colliers global platform.
 And finally, just after year end, we added a smaller but important asset and property management business in Belgium, expanding our capabilities in Europe.
 Looking forward, our business pipelines in most markets continue to reflect solid activity. Around the world, investors have been increasing their allocations to real estate because the returns there have been better than most over the past number of years. And with interest rates being low, we expect this trend to continue for the foreseeable future.
 At the same time, we continue to aggressively recruit high-impact producers in our key markets around the world, notwithstanding that a change when markets are strong is often difficult for them. However, with increased industry consolidation, we have seen some interesting opportunities develop, and we hope to be able to take advantage of some of them over the next 12 to 18 months.
 Finally, as we continue to pursue prudent and accretive acquisition opportunities in key markets, as we have done in the past, our pipeline for potential transactions remains strong and we continue to pursue our growth strategy of augmenting internal growth with strategic acquisitions when the opportunities present themselves.
 With strong results for the first half of the year, low leverage and abundance of growth opportunities, Colliers International as a stand-alone public company has never been in a better position to create value for our shareholders in the years to come. 
 And now let me turn things over to John for an overview of our financial results, and then we'll open things up for questions. John? 
John Friedrichsen: Thank you, Jay. As announced in our press release earlier this morning and covered by Jay in his opening remarks, Colliers International Group reported strong quarterly financial results in its debut reporting period as an independent publicly traded company, including solid contributions from our service professionals across our global platform. I will address our overall consolidated financial results for the quarter, our operating results by reporting region as well as our capital usage and financial position, all of which relate to continuing operations.
 So for our second quarter fiscal 2015, consolidated revenues increased to $410 million, up 22% in local currencies from $369 million in the second quarter of 2014 with 12% of our growth generated internally and the balance from acquisitions. Total revenue growth for the quarter in our U.S. dollar reporting currency was 11%. 
 Adjusted EBITDA for the quarter totaled $44.6 million, up from $34.3 million reported in Q2 last year, an increase of 46% in local currencies and 30% in U.S. dollars, while our margins grew to 10.9% compared to 9.3% last year.
 And adjusted earnings per share came in at $0.58 compared to $0.44 per share reported for the second quarter last year, an increase of 32% in U.S. dollars.
 Our adjustments to GAAP EPS in arriving at adjusted EPS are outlined in our press release issued this morning and are consistent with those outlined previously. Of note, and as outlined in our press release, we reported 2 significant charges related to the spin-out of the FirstService Residential property management and property services businesses completed on January -- on June 1 of this year, including a noncash stock-based compensation charge of $35.4 million arising from the conversion of noncontrolling interests in Colliers held by a number of Colliers executives while operating as a subsidiary of old FirstService prespin-out to publicly traded Colliers shares. Just under 2 million publicly traded Colliers shares were issued on the conversion, of which 1.6 million shares are subject to contractual retention periods of 1 to 3 years.
 Separately, $13.1 million in costs related to the spin-out and reorganization of the companies was incurred. The FirstService business spun out on June 1, 2015, are reported as discontinued operations for all periods presented.
 And finally, earlier today, we posted to our website under the Investors section historical quarterly results on a consolidated and segmented basis for Colliers for 2013 and 2014 to assist with year-over-year comparative analysis.
 Now turning to our results. Our $410 million in revenues for the quarter was comprised of $252 million in Sales and Lease Brokerage and the balance of $158 million from Outsourcing & Advisory services with growth in the latter category increasing 46% over the prior year in local currencies and benefiting significantly from the acquisition of our workplace solutions business based in France late last year.
 On a run rate basis, as Jay previously indicated, the more recurring revenues generated by our Outsourcing & Advisory services segment now represent approximately 40% of our overall revenues. Growth in our Sales and Lease Brokerage services was also strong, but at a more moderate yet still significant 11% pace in local currencies as strong brokerage activity in Q2 of 2014 provided for challenging year-over-year comparables in this category.
 Turning to the regions. In the Americas, revenues were $206 million, up 7% in local currencies with 4% internal growth and 3% from acquisitions. Brokerage revenues were flat versus last year in our U.S. and Canadian operations, in both cases facing tough comps from growth in brokerage services of 30% and 20%, respectively, in those markets in Q2 last year. Growth in the quarter was driven by valuations and project management with both realizing the benefits of investment and additional headcount over the last couple of years.
 Adjusted EBITDA came in at $17.4 million versus $17.1 million last year with a margin of 8.4%, approximately flat with last year.
 Moving on to EMEA. Revenues of $105 million in the quarter increased 70% in local currencies with 31% internal growth and 39% from acquisitions completed in France and the U.K. last year. Internal growth was attributable to strong Lease Brokerage and solid Sales Brokerage activity, particularly in the U.K., as well as solid gains in valuations and property management. Acquisition-related growth was primarily due to our France-based workplace solutions business acquired in Q4 last year.
 Adjusted EBITDA was $17.8 million, almost double the $9.1 million generated in Q2 last year and with a sizable increase in margin to 16.9% versus 12.8% as our workplace solutions business generated significant project management success fees based on achieving agreed upon client outcomes, along with significant operating leverage and productivity increases in our U.K. operations.
 And finally, in our Asia Pacific region, revenues came in at $99 million, up slightly over the $97 million reported in Q2 last year and significantly impacted by foreign exchange. Revenue growth in local currencies was 15%, of which 13% was generated internally and primarily attributable to strong Sales and Lease Brokerage in our Australian and New Zealand operations, along with solid leasing and property management revenue gains in our Asian markets.
 Adjusted EBITDA was $12.1 million, up from $11.7 million last year with our margin increasing to 12.3%.
 Looking across our global operations, our pipelines in most markets in which we operate continued to reflect solid commercial real estate activity, which we expect to continue for the balance of the year and, combined with Colliers' strengthening global platform, should support us in achieving our growth objectives in 2015.
 Turning to our capital deployment and balance sheet. In our second quarter, capital expenditures totaled $9.8 million, down from $13.5 million last year, which was elevated due to spending related to new office space in a couple of our major market centers.
 We invested $19.3 million in acquisition activities during our second quarter compared to $27.3 million last year.
 Our net debt position stood at $257 million at the end of the quarter, and our leverage ratio, expressed as net debt-to-adjusted EBITDA, stood at just under 1.6x. Subject to any additional investment in acquisitions, we expect leverage to trend down over the balance of the year by about half a turn to well within our target leverage range of 1 to 1.5x by year end.
 In terms of our financial capacity with cash on hand and committed availability under our revolver, we had over $250 million of liquidity at quarter end, a level ample to fund operations and other capital investments, including acquisitions, needed to execute our growth strategy.
 That concludes our prepared remarks. And I would now like to ask our operator to open up the call to questions. 
Operator: [Operator Instructions] And we do have a number of questions that have queued up. The first question comes from Anthony Zicha of Scotia Bank. 
Anthony Zicha: Jay, can you provide us some more color on the Americas? You had good organic growth at 4%. Can you give us some of your insights on the U.S. market share expansion opportunities? And some color on the competitive landscape would be helpful. 
Jay Hennick: Yes, the U.S. market is very healthy. But a lot of the activity, larger transactions are taking place in major markets. Secondary markets are not enjoying the same level of success, although they're better than they were last year. So generally speaking, the U.S. market is in good shape. And in part, as I indicated in my comments, there's a lot of foreign capital flowing into the U.S. as global funds, pension plans and other investors are looking to balance their global real estate allocations and the U.S. is an ideal spot to invest. In terms of the competitive landscape, as always this business is very competitive. We are -- the industry is dealing with the potential merger of 3 companies right now: UGL, DTZ and Cushman & Wakefield. The transaction on the Cushman transaction piece of the threesome has not yet been completed, but that has caused a lot of dislocation in the marketplace and could create opportunities for us in different markets not just in the U.S. but around the world. So overall, we see a strong U.S. We see the markets continuing. We see land purchases in our pipelines increasing as a percentage versus prior year, which is usually the first sign of further development in both office and in residential in particular. So lots of movement, and we see the market continuing well beyond this year from our perspective anyway, especially in the U.S. 
Anthony Zicha: Okay. And then Jay you also mentioned that you still expect the momentum to be strong in the EMEA. And could you give us some outlook on the European markets and your progress in the U.K. and in Germany? And are you satisfied with your German operations in terms of performance, which some of the work habits and tools that you've picked up over there could be implemented elsewhere across-the-board? 
Jay Hennick: Well, obviously, we're thrilled with our EMEA operations. Generally, as you know, Anthony, we made a bet several years ago that investing in Europe at the time was a smart move for us. We made a significant first move in the U.K. followed by Germany and then France. We now have 3 exceptional service providers in those geographic regions. You're seeing the results come through on our numbers. The German business that we have is absolutely first rate, the methods that they use to win new clients. Their relationships with existing clients are quite significant and deep, and we see great opportunities to take not only their expertise, but their client relationships beyond Germany in a much bigger way in the years to come. And to a lesser degree but also significantly, we see the same thing in France and in the U.K. U.K. had a stellar quarter. Pipelines are strong there. France also had a stellar quarter. So all good news from our perspective in Europe. And as importantly, each have great momentum and each are looking at ways to expand and diversify their business. And there are opportunities in the marketplace for us. So we're excited about it. 
Anthony Zicha: Excellent. And one last question. Are you still comfortable with your target of achieving a 10% EBITDA margin by 2016? And are there any new challenges in attaining that goal? 
John Friedrichsen: It's John here. That's still our target. Clearly, FX isn't helping us, but that remains our target at this point. That would be a goal we have for next year, and we're on target to achieving our previously stated target of high-single-digit margins for the current year. 
Operator: All right. Our next question comes from Frederic Bastien of Raymond James. 
Frederic Bastien: You had a solid revenue growth in Outsourcing & Advisory. I apologize if you've touched on this already, but could you please split the 46% in growth that you achieved between M&A and internal growth? 
Jay Hennick: We can absolutely do that. We can absolutely do that. The -- From the standpoint of outsourcing, internal growth in local currency was about 20% increased over the prior year. Total growth 46%. So sort of half and half. 
Frederic Bastien: Half and half. Okay, great. How would you -- I mean, what the sources of that growth on an internal basis? I mean, you -- I mean, obviously, you're gaining momentum, getting more global accounts to sign up. But any specific things that you would point to? 
Jay Hennick: Yes, the multi-market client relationship part of our business is expanding considerably. I don't know that we provided any of that information in the prepared remarks. And off-hand, I would suspect that most of the growth in that area is coming from valuations, but also leveraging existing client relationships in certain markets. For example, France, as an example, won a significant account with KLM, but it covered the entire European region. So that created a number of new retainers in different geographic regions as KLM is re-looking at its real estate, trying to find ways to better manage and be more efficient internally, and that's just creating incremental opportunities for us. These multi-corporate accounts, especially in the workplace solutions area, have become very aggressive about looking at their space, the cost of their space, utilization. And that is dovetailing nicely into our push to expand the workplace solutions part of our business. 
John Friedrichsen: Frederic, I also indicated in my prepared remarks that we had been focused on building both project management and the valuations business in terms of recruiting and headcount over the last 1.5 years, 2 years. So that is actually benefiting us now. Obviously, there's lots of demand for that services, and we've been able to expand and get our people ramped up and highly productive and contributing on an internal growth basis to our success in that area. 
Frederic Bastien: Okay, it's -- that's helpful. Has your outlook in the Asia Pacific region changed dramatically or materially since we've seen the events happening in China and with the market coming off, basically back to reality? 
John Friedrichsen: I think that obviously, those kind of headlines will cause some activity to pause. I think that over the last 1.5 years, whether it's been imposed restrictions on tax related to transactions or other things that are taking place in that market, it's put a bit of a dampening effect, and this is all previously around trying to slow some of the growth that was going on in that market. So we've been living with this, I think, for the last 18 months or so. I don't think it has changed dramatically from where we were sitting earlier this year. 
Jay Hennick: But just to add that point, the softness in -- that John's talking about over the next little while there is turning into a bit of an advantage for us because there are some opportunities that we may be able to capitalize on from an M&A standpoint that wouldn't otherwise be there. So there's nothing significant in the hopper, but there's a lot of discussion and there's also a great push, especially in Asia Pacific, for well-managed, independent organizations to become part of a global platform like Colliers. It enhances their ability to get better clients, but it also increases their opportunity to sell their services at higher rates. And from our perspective, of course there's always the leveraging opportunity of increased commercial -- traditional commercial real estate services through to those clients. So we're -- in a strange way, Frederic, we look for these imbalances in the market so that we can capitalize when the time is right. 
Frederic Bastien: Okay, super. Last one for me. John, I don't know if you have those numbers handy, but I was hoping to get a rough breakdown of the revenues that are coming out from Canada, Australia and the U.K. Effectively, I just want to try to better model the impact of FX on a go-forward basis. And if there are any other significant currencies that are of -- worthy of note, it'd be great to know. 
John Friedrichsen: Well, we -- I mean, we were -- we -- I mean, now we're reporting on a segmented basis, which would include, obviously, the Americas. And with respect to Australia, New Zealand, it's a significant part of our Asia Pac business, but we're not disclosing those separately. 
Operator: All right, our next question comes from Stephen MacLeod of BMO Capital Markets. 
Stephen MacLeod: I just wanted to dig in a little into the second half of the year. You talked about the momentum continuing in your outlook for revenues and margins. Is that breakdown similar to what it was in the first quarter, i.e., like Outsourcing & Advisory representing a higher growth rate? Or do you expect that to be more evenly balanced? 
John Friedrichsen: I think we had an exceptional growth in the second quarter. It'll probably moderate a little bit for the back end of the year on that particular piece. It's not -- it doesn't drive this -- doesn't have same characteristics as the brokerage side in terms of the seasonal weighting. It's a little bit more steady through the year, and we just went through a very strong quarter. 
Stephen MacLeod: Right, okay. And can you just remind us of what the margin difference is between the higher -- the recurring revenue-type businesses versus the brokerage-type businesses? 
John Friedrichsen: Margins around the recurring -- more recurring stuff tend to be high single digit, whereas the brokerage activity and related more transactional tend to be more of a sort of low double digit. So you trade off basically some volatility for margin on those -- on those different segments. 
Stephen MacLeod: Right. Right, okay. And so in the quarter, you mentioned that some AOS, I guess, sort of success fees positively impacted the quarter. So would those -- I assume those would tend to fall off in the back half of the year, is that right? 
John Friedrichsen: Well, it really depends on the activity related to their client base. I mean, they are continuing to do work in similar type of projects. It's -- we don't have as much visibility on how those will end up, but there certainly is an opportunity for them to deliver strong results. If it's not in the third quarter, maybe in the fourth quarter, that kind of thing. 
Jay Hennick: The nature of some of their client relationships, particularly some of their larger ones, is such that they earn fees for bringing projects in at or under budget, and there's bonuses for doing that. And then frankly, in some markets, you need it because there's all kinds of external contingencies that do impact the success of a job. So it's part of what they do. It's a small part of what they do. Look, if you looked at all of their jobs across the board, I'd say 20%, maybe as much as 22%, of their jobs would be -- have a performance-based component to it, but it's just the reality of the way they do business. 
Stephen MacLeod: Okay. I just wanted to clarify if it was something that was, like, lagging from prior periods that you just realized. But it sounds like it could be ongoing. And then finally, you mentioned the comps in the quarter were difficult in Canada and the U.S. How do the comps begin to track in the back half of the year in that market? 
John Friedrichsen: They should get a little bit easier as we go into Q3 and Q4. 
Jay Hennick: Maybe in Q4. 
John Friedrichsen: Yes. Having said -- I mean, U.S. had a strong finish the last year. Canada had moderated a little bit given what was happening already in the Canadian economy. So I would say Canada probably gets a little bit easier, U.S. maybe slightly. 
Stephen MacLeod: Right, okay. Sorry. And then just finally, if I could, you mentioned that you're still on track for your 2015 margin targets. So is that -- do we still -- shall we still understand it that it's -- you expect to see organic or underlying EBITDA margin growth offset by FX, so maybe you end up somewhere flat on a year-over-year basis? 
John Friedrichsen: I think that's fair; that's not a bad perspective. I think that's -- makes sense. It's fair. 
Operator: Our next question comes from Anthony Jin of RBC Capital Markets. 
Anthony Jin: I just really have one question regarding your comment on recruiting opportunities specifically related to what you're seeing and I guess in the context of some commentary in industry articles saying that a couple of Cushman guys are getting their pays cut. 
Jay Hennick: Yes. The -- I'm reading into your question a little bit here, so I'll provide you with some color. Cushman's where all the action is right now, and it's very difficult to discern whether it is management that's pay is being cut. For sure, producers' pay is not being cut. And so I think that's what the reference is. But the interesting thing around Cushman is that -- and the biggest issue always when you merge 2 commercial real estate firms is typically, the producers are fierce rivals within a given market. They cover the same clients. They offer different ideas, but cover the same clients. They have stronger or weaker relationships with senior managers, which means that a decision has to be made as to who's going to lead, who's going to cover accounts. And when that decision gets made, there's dislocation amongst those that didn't get the nod. And so there is an opportunity notwithstanding a growing market. Typically, in a market like this, it's very hard to dislocate people that are especially big producers because they've got a lot of deals in their own pipeline. But when they have to start making decisions on client relationships and sharing and things like that, it becomes more interesting for firms like ours and others that may want to be augmenting their operations in different geographic regions. So that's the color I can provide there. 
Anthony Jin: I just want to follow up in that case. Would you -- just given that the dislocation color that you provided, would you feel that you have to pay up for these producers even in this environment where one guy gets the nod and the other guy doesn't? 
Jay Hennick: Well, first of all, this pay up is really a misnomer because in most key markets around the world, there's no pay. There's no recruiting fee. Sometimes, there's a cost recovery or something like that, if somebody's going to leave a piece of a deal behind or something. But it only happens in key markets or key specialties. And I would say that those recruiting fees would not be at the same level as they might be otherwise to dislocate a huge producer from an organization that they have had some history with. It's only money if they're open to a move, which they're not always open to. In this kind of circumstance, it's not about money. It's more about freedom to work, the bureaucracy, that they're going to feel the dislocation that's going to happen by bringing 3 businesses together. It's not going to be easy. 
Operator: Our next question comes from David Gold of Sidoti. 
David Gold: So just following up on the success fee commentary in outsourcing. Presumably, the success fees come at the moment when jobs end. And so just curious if we can expect the momentum to be sustained in that business. Or do we have some projects then that maybe it might be difficult to fill out? Anything that we should know about? 
John Friedrichsen: Look, I think that the momentum for sure is going to continue in that business. But from time to time, there will be success fees that may make it slightly lumpy. It's all I can say. I mean, they -- the business finished strong in Q2. You will recall that Q1 was a little bit lighter. So to some extent, this is timing related. What we do know is that there are several mandates that are very, very, very good, positive mandates that we're currently completing and will expect to complete for the balance of the year. Whether we finish that in a particular quarter versus the next is not necessarily guaranteed. 
David Gold: Okay, perfect. And then, Jay, I think both you and John used the term most markets when you spoke about pipelines or momentum. Any insight as to markets where maybe there's some softness? Any significant ones? 
Jay Hennick: Asia Pacific, as we talked about a bit, is a little soft. We generated some good results this quarter, but I think it's generally soft. Latin America continues to be soft, although it's a small part of our business, as is Eastern Europe, another area where it's particularly soft, although as Europe strengthens, there's a natural inclination to expand our operations. And Poland, as an example, continued to be very strong, but markets around Poland that are of equal significance, potentially have similar populations and GDP are ready and there's been some development in those areas. So right now those would be the soft areas: LatAm, Eastern Europe and Asia. 
David Gold: Perfect. And then just one last one. Given your success on the Outsourcing side presumably with the AOS, as you get back on the acquisition trail, should -- or could we expect you to do more acquisitions on the Outsourcing side? 
Jay Hennick: For sure, it's a core for us. 
Operator: Our next question comes from Stephanie Price of CIBC. 
Stephanie Price: In terms of recurring revenue, you've definitely called out this quarter the 40% recurring revenue. Can you talk a bit about sort of the objective or the longer-term goal in terms of what recurring revenue or what percentage of revenue recurring revenue would be? 
John Friedrichsen: I think, Stephanie, we're just going to be progressively trying to move that bar. We haven't set out any specific goals. But given our roots and the way we think about the business, adding stability for sure is important. But that's not to take away from the opportunities in the other areas, the more transaction side of the business, which, again, whether it's Leasing, which is a little bit more certainly repeat or recurring than Sales Brokerage, both areas are -- have very, very interesting opportunities. We've talked about our focus on the U.S. But as you've seen from our expansion in the U.K. in particular, where we've driven those revenues up significantly, there's huge opportunities in that area as well. 
Jay Hennick: They -- I would add that one of our peers includes lease -- leasing results as part of their recurring revenue, which we don't. But if we did, it was -- it's approximately 70% of our overall revenue, which gives you quite a balanced business, much more balanced than ever before for us, not to mention the geographic diversification I commented on earlier. So we continue to look in these areas. As John says, our history is around recurring and repeat revenue streams. We believe it's important. But it also has to be leverageable into some of the other services that we offer. 
Stephanie Price: Okay, great. And then John touched on the U.K. as well. Could you maybe go into a bit more detail about what's driving the strengths in the U.K.? Obviously, both revenue and margin were strong this quarter. 
Jay Hennick: The U.K. is a great success story which we should talk about and feature at some point because you'll recall when we stepped in, the U.K. was in the doldrums and we basically revitalized our business there. We bought the business from a franchise -- from a franchisee. The senior management team there led by Tony Horrell has done an incredible job at elevating the stature of the brand to clients at the highest end of the market. We have taken very calculated steps over the past 2 or 3 years with strategic acquisitions that have expanded and augmented our areas in retail, office, industrial, property management, all of which are -- all of which is creating additional momentum for new and significant impact players to join the organization. And in many ways, the business in the U.K. is more of a momentum business than in other marketplaces. The best brokers, the best producers, most astute business and real estate advisers want to be with Colliers, which is a wonderful place to be where we're still only #4 in that marketplace, maybe 5. We think that there's lots of room to grow. And so I think the overall momentum, quality of the people, level of the client relationships are all contributing. 
Operator: All right, so there are no other questions at this time. 
Jay Hennick: Okay. Well, thank you, everyone, for joining us, and we look forward to a successful conference call and results, obviously, in the third quarter in October. Thanks for joining us. 
Operator: Ladies and gentlemen, this concludes the Second Quarter Investors Conference Call. I thank you for your participation, and have a great day.